Operator: Good day, and welcome to the Weave's Second Quarter 2022 Earnings Conference Call. Today's conference is being recorded.  At this time, I would like to turn the conference over to Ms. Maria Hocut. Please go ahead, ma'am.
Maria Hocut: Thank you, Sharon. Good afternoon, and thank you for joining us for the Weave Communications Second Quarter 2022 Earnings Call. Joining me on the call today are Roy Banks, Chief Executive Officer; Alan Taylor, Chief Financial Officer; and Brett White, President and Chief Operating Officer. Full details of our results and additional management commentary are available in our earnings release, which can be found on the Investor Relations section of the website at investors.getweave.com. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws, including, but not limited to, statements regarding Weave's future financial results and management's expectations and plans for the business. These statements are neither promises, nor guarantees, and involve risks and uncertainties that may cause the actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from the forward-looking statements can be found in our Form 10-Q filed with the SEC on May 13, 2022, which is accessible on the SEC's Web site at www.sec.gov, and also available on our website at investors.getweave.com, as may be supplemented in subsequent periodic reports we file with the SEC. Any forward-looking statements made in this conference call, including responses to your questions, are based on current expectations as of today, and Weave assumes no obligation to update or revise them, whether as a result of new development or otherwise, except as required by law. The following discussion contains non-GAAP financial measures. For a reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our earnings press release, which is available on the IR section on our corporate Web site at investors.getweave.com. Now I will turn the call over to Roy, Chief Executive Officer of Weave. Roy?
Roy Banks: Thank you, everyone, for joining us today, and welcome to our second quarterly earnings conference call. In a moment, Alan and I will provide an update to Weave's strategic and financial progress. But first, I'd like to address this afternoon's announcement regarding my decision to step away from my role as Weave's Chief Executive Officer. I joined Weave as CEO in 2020. And since then, the management team and employees have navigated through the challenging COVID pandemic, enhanced our technology platform and completed our IPO in November 2021, when we successfully raised capital to continue to fund our growth, operations and pathway to profitability. As a new public company, we faced tough equity market conditions, but we continued to improve our competitive position and implemented new go-to-market actions, positioning the company for scalable long-term growth. These efforts have led to positive Q2 financial results and to raise full year guidance expectations, as we will further discuss in today's call. While I'm saddened to take a step back due to personal health and family reasons, I needed to dedicate additional focus to my personal commitment and feel that I can no longer give Weave the leadership attention that the company and its stakeholders deserve. As a result, I am stepping down from the CEO role effective August 15, but will remain in an advisory role through September 2 to ensure a seamless transition, at which time I will also resign from the Board of Directors. I'm happy to announce that Brett White has been appointed to serve as interim CEO until the Board of Directors appoint the company's next full-time CEO. As you recall, Brett has been a member of our Board since July 2020 and became our President and Chief Operating Officer in April of 2022. Brett has significant executive SaaS experience and previously served as the Chief Financial Officer and Chief Operating Officer for Mindbody. I'm confident his perspective on Weave's business and deep understanding of our financials and operations will ensure a smooth transition and a bright future ahead. I'd like to thank everyone at Weave who supported me during my tenure with the company. The success Weave have enjoyed is directly attributable to the hard work and dedication of our team. Please note that I remain incredibly bullish about the future prospects for the business under Brett and the rest of Weave's leadership team. With that, I'd like to turn the conversation to our Q2 results and outlook for the rest of the year. As we entered 2022, we were experiencing certain challenges within the macroeconomic environment and also in our business operations. We have since announced several initiatives designed to improve the alignment, productivity and sustainability of our go-to-market efforts. Although our work to address these challenges is not done and macro uncertainty persists, we are clearly seeing positive results from the new initiatives and improved execution. In the second quarter, we earned revenue of $34.9 million, representing 24% growth year-over-year. Operationally, we achieved a balance between the desire to closely manage cost levels while also continuing to invest in our go-to-market enhancements and long-term growth efforts. As a result, our non-GAAP operating loss was $10.1 million, reflecting a narrowed loss margin percentage compared to a year ago. Both metrics are favorable to the guidance we provided for the quarter, and with continued cost management and disciplined investments, we expect to achieve continued growth and improved operating margins in the second half of the year. As we progressed through the quarter, we saw an evolving and bifurcated economic environment. As many of our specialty health care customers recover from the effects of the COVID pandemic, the developing uncertainty of the economy is starting to take its place. Business owners are increasingly expressing concerns about rising interest rates, inflation and fears of a broad economic recession. At this time, these concerns are only minimally impacting underlying demand but are perhaps elongating purchase decisions and increasing sensitivity to pricing. We are keeping a close eye on the situation as changing behavior could impact demand. While we recognize the broad macro uncertainty is concerning, our products and services are designed to help our customers manage through exactly these kinds of challenges, which we believe makes our business model more resilient. Our core customers operate within the specialty health care verticals, particularly the dental, optometry and veterinary sector, which are viewed as essential services that have shown resilience in the face of the pandemic and previous macroeconomic challenges. These small businesses depend on Weave's platform for essentially every facet of their customer engagement and communication; like acquiring new customers; communicating with existing customers via tech, phone, chat or e-mail; scheduling appointments; sending out appointment reminders and collecting and processing payments. We remain optimistic about our market opportunity as we expect our existing customers will want to retain the automation and solution benefits they've become reliant upon. Similarly, we believe that new customers will seek more efficient ways to communicate and engage with their customers, save costs and operate their businesses more efficiently. We've continued to make investments into our product road map and technology platform that will deliver valuable time and cost-saving solutions to our clients. To highlight this progress, I'll briefly pull out 3 recent notable platform enhancements. First, insurance verification. As medical patients yourselves, I'm sure each of you have experienced the frustration of trying to use insurance to pay for your treatment. This frustration is felt by all parties. In fact, we estimate the average dental office spends 6-plus hours a week trying to verify insurance eligibility. The time, effort and expense associated with this activity has no benefit to patient care or the growth prospects of the dental office and is purely an overhead cost ripe for reduction. In July, we made an insurance verification enhancement to our platform available to all of our dental locations. This new solution operates within the same Weave platform the dental office already uses and can potentially shorten the time spent on insurance verification by over 50%. Second, enhanced payment solution. For a small health care practice, collecting payments is one of the most important and sensitive patient interaction. For some patients, making financial arrangements can often cause undue stress and sometimes delay treatment. In a recent Weave survey of pet owners, we found 1 in 3 have recently delayed procedures or treatment for their pets due to the large upfront cost and the inability to pay overtime. In May, we announced the partnership with Sunbit to integrate its Buy Now, Pay Later solution into the Weave's payments offering, which now sits alongside our text to pay, digital wallet and card on file features. Last week, we launched this product, and it is currently available to all of our customers that leverage our payment solutions. And third, continued expansion of our multi-office capabilities. In prior calls, we noted that the market demand towards consolidated ownership of multi-office businesses. Earlier this year, we announced the signing of Dental Care Alliance, our largest ever customer, which operates over 370 locations across the country. The onboarding and integration of these offices has been executed according to plan, and we expect to complete this process this fall. We intend to continue to build and adapt our platform capabilities to support the administrative and operational complexity and needs of the multi-office ownership structure. In the second quarter, we launched several platform features with multi-location businesses needs in mind. These include department grouping for text messaging, multiple time zone fields for organizations operating in multiple states, and unlimited new texting templates. Each of these platform enhancements are specifically addressing market needs and the key pain points experienced by our customers and their patients. As our suite of offerings becomes more and more robust, we anticipate business owners and patients will have increasingly seamless interactions that improve the patient's experience, while the improved business automation and efficiencies are expected to provide a quick ROI to the business owners. Our product innovations are increasingly being recognized by our customers and the market. We were named a category leader in five of G2's Summer 2022 software report categories, including dental practice management, optometry, patient engagement, HIPAA-compliant messaging and patient relationship management. Notably, Weave was also named as the best ROI for dental practice management overall and within the small business segment. During the quarter, we made progress on our new go-to-market motion, which will serve as the foundation to our sustained efforts and consistent execution to increase productivity, lower customer acquisition costs and ultimately help grow our subscription and payment processing volume and revenue. In the first quarter, we implemented many new changes and enhancements to our sales platform to better align our go-to-market motion with our market opportunity and plans for growth. During the second quarter, we began executing this plan while continuing to optimize our efforts and processes. This optimization included adjustments to respond to the macro conditions, customer demand and the labor market as we hired and trained staff with new skill sets. Now in the third quarter, we are focused on expanding the leverage and execution of our revised go-to-market initiatives within the context of the evolving market environment. During the height of the pandemic, most live industry events, which have been important to our prior sales efforts, were severely impacted. Our planned new actions included more targeted digital marketing campaigns, which have proven very productive in the first half of the year. Internally, our operations changed the structure and responsibilities of our sales team to better target specific resources to the opportunities with the highest potential ROI. As these efforts take hold, we will continue to evaluate and adjust our go-to-market operations as appropriate. Going forward, we expect to see improved win rates, lower customer acquisition costs and improvements in bookings results. Once again, I'm very happy to report another impressive quarter of performance. We made substantial progress in our new product delivery and go-to-market optimization. And while I'm saddened to announce that I'm stepping down, I am extremely proud of what the company has been able to accomplish during my time as CEO. I'd like to add my gratitude and thanks to the Board and the entire leadership team and people at Weave for their unwavering support as I made this decision. Their compassion and leadership are perfect examples of how Weave treats everyone as people, not employees. I'm confident that Brett and the rest of Weave's leadership team will guide the company to further successes. Now I'll turn the call over to Alan. Alan?
Roy Banks: Thanks, Roy, and welcome, everyone joining us on our call today. I'd like to take a moment before highlighting our financials for the second quarter to express my gratitude and appreciation for what we have achieved as a company under Roy's leadership. Roy is a driven business leader who has passion for people and an inclusive mindset that brings out the best in them. He led us through our IPO and has positioned us for success, as reflected not only in the strength of our balance sheet, but especially in the strength of the team he has assembled. We wish him all the best. His influence will be very evident here at Weave in the years ahead. Brett has already brought significant leadership and experience to our business. First, as a Board member, then as President and COO and now as Interim CEO, and I'm confident in his ability to continue operationalizing our growth as the Board conducts an evaluation of candidates for the CEO role. Now on to the financials. I am pleased to share the financial results for the second quarter with you as our quarterly revenue grew 24% to reach $34.9 million as it -- and exceeded the top of our Q2 guidance range. This reflects increased subscription revenue, primarily driven by the onboarding of new customers acquired. Our net revenue retention rate was 102% this quarter, also adding to our subscription revenue. This metric, along with our gross revenue retention, which remained at 94%, reflect the expanded use of services by our existing customers. In comparing revenue year-over-year, please note that as previously disclosed, we changed our installation program in the third quarter of 2021, which moved nonrecurring installation revenues off our books by the end of last year. Our Q2 onboarding revenue decreased roughly $700,000 year-over-year as a result. Excluding the impact of these installation revenues, our year-over-year growth would have been 28%. Although this change impacts our revenue, it improves our gross margins, better leverages the expertise of our IT partners and improves the experience for our customers. We earned a non-GAAP gross profit of $21.4 million and expanded gross margins year-over-year by 320 basis points to 61.1%. This improvement reflects the benefits of outsourcing the nonrecurring onboarding process I mentioned previously as well as improved operating leverage across our personnel and the infrastructure deployed to service our customers. Our non-GAAP operating loss increased by $1.2 million from Q2 of last year. mostly related to G&A functions as we incurred public company costs following our November IPO. There were also certain legal costs and personnel-related expenses as we hired additional executive leadership. Our second quarter non-GAAP operating loss of $10.1 million was at the favorable end of our guidance range. While our operating loss increased by $1.2 million, our operating loss margin improved 240 basis points to a negative 29.2%. Non-GAAP net loss was $10.3 million or negative $0.16 per share in the second quarter based on a 65 million weighted average shares outstanding. This is compared to a loss of $9.7 million or negative $0.73 per share a year ago. Adjusted EBITDA loss was $9 million, an $800,000 increase year-over-year. However, the EBITDA margin improved by 300 basis points, reflecting ongoing leverage in the business and a prudent balance between managing our costs and making strategic investments in go-to-market and long-term growth. A few comments about our financial position. We continue to have a very flexible financial position with $124.3 million of cash and equivalents on hand as of the end of the quarter. In Q2, we had free cash flow usage of $2.4 million, which was an improvement of $1.6 million compared to the prior year period. The year-over-year improvement reflects our narrowed net loss margin in the recent period and the absence of meaningful CapEx purchases since we completed the opening of our new office last year. While we are certainly cognizant of the challenging macroeconomic environment that many businesses are facing, we are also confident in the resilience of the verticals that we serve. The dental, optometry, veterinarian and other specialty health care verticals, which comprise the vast majority of our customers, have shown remarkable strength in past economic downturns, and we believe they will weather these challenging times as well. The communications and engagement tools that we provide are even more vital to their success because they save our customers' money, allow them to collect their receivables and increase their utilization rates through convenient and robust interactions with customers. Now turning to our guidance. For the third quarter, we expect total revenue in the range of $35 million to $36 million, and a non-GAAP operating loss in the range of $9.5 million to $8.5 million, which includes certain onetime expenses associated with the CEO transition we are making. We expect to have a weighted average share count of approximately 65.6 million for the third quarter. For the full year 2022, we are raising our total revenue guidance. We expect total revenue to be in the range of $141 million to $143 million, which represents a $1.5 million increase compared to our previous midpoint expectations. We also expect our full year fiscal 2022 non-GAAP operating loss to be in the range of $38 million to $36 million, which assumes improvement in our operating loss as a percent of revenue. We expect to have a weighted average share count of approximately 65.4 million for the full year. With that, I'll now introduce our Interim CEO, Brett White, for some brief comments before we take your questions. Brett?
Brett White: Thanks, Alan. On behalf of the Board and myself, I'd like to thank Roy for all of his contribution, and I'm honored to be asked to lead the Weave team at this time. I'm very excited and confident in our bright future ahead. We are very well positioned to continue to provide our customers with world-class communication engagement solutions and to continue to innovate and bring to market new, highly impactful products. Now we'll take your questions. Operator?
Operator: [Operator Instructions] We will now take the first question from Parker Lane from Stifel.
Parker Lane: Wondering if you could comment a little bit more on the price sensitivity. Is that showing itself in the form of prospects looking at the price of Weave and maybe going in another direction? Or is it existing customers that are showing some sensitivity to perhaps expansion? Maybe you could just elaborate on that a little bit.
Roy Banks: I think primarily, it's showing itself in the elongation of the sales process. I think people are more contemplative of their spending and just pausing a little bit more than they have in the past given the economic environment. That's the chief thing I think we're seeing.
Parker Lane: And then given some of the sales and marketing and just go-to-market changes you've made recently, how do you feel about sales capacity right now heading into the back half of the year? Obviously, a more uncertain macro, these elongation of sales cycles. Do you feel like you're in a good place, or are you going to continue to be actively hiring out there?
Roy Banks: So I think we are in a good place. We will continue to actively hire. I think we've seen the regrettable churn for sales employees at the best level we've seen in about 6 quarters. So I think that's a positive result, but there still is some churn out there. We'll continue to ramp our existing salespeople, replace them as necessary, but I think we're well positioned for the balance of the year.
Roy Banks: Yes, I would just to that, that part of the new go-to-market allows us to size and adapt our sales force accordingly to the opportunity. So that's another benefit of the go-to-market changes that we've made.
Operator: Next up, we have Michael Funk from Bank of America.
Michael Funk: And first, Roy, it's been great working with you, and best of luck to you in the future. A couple, if I could. So you made a comment of a ton of conversations with clients. Just wondering where that's going to manifest, is it going to be more an NRR, GRR or growth additions? I understand your comment, elongation of sales cycle. Just trying to -- if that's more gross additions or upsell existing clients?
Roy Banks: So I think it will manifest itself in both, but the growth additions given the sales situation that we find ourselves in that I just commented on, I think, we're in a good position for this. It's something we continue to monitor but there is definitely probably a more contemplative and questioning approach as we go through the sales cycle, which just extends the time somewhat.
Michael Funk: And the comments about CAC moving lower over time, first, where can that go? And then in the short term, with the sales cycle elongating, should we expect that to actually maybe increase in the short term with a longer sales cycle?
Roy Banks: So the improvements that we are seeing in efficiency, the ramping of our sales team, those are the items that I think are going to really help us out. And the comp structures are going -- we are gaining ground and growing into those as we ramp these employees, which will be a benefit to our CAC structure.
Michael Funk: And then last one, cash on the balance sheet, your cash burn relatively low. So how should we think about use of cash on the balance sheet?
Roy Banks: We will continue to be good stewards of the cash that we have. We are aware that we are in a market that is somewhat ripe for consolidation. We're going to watch those trends, and we will be opportunistic with respect to our acquisition strategy as well as to other growth opportunities that present themselves. But we like our position in this market, given the cash that we have on the balance sheet to execute and have optimum kind of optionality.
Operator: Next up, we have Mark Schappel from Loop Capital.
Mark Schappel: First off, Roy, let me just say the best to you in the future. Sorry to see you leave. Alan, starting with you, though, I was wondering if you could just talk a little bit about the net retention rate in the quarter. It ticked down a little bit, granted it's over 100%, but it's still ticked down from prior quarters, at least according to what I have here. I was wondering if you could just address that.
Roy Banks: We're now a full year into our payments solution. And so as you compare year-over-year, the kind of greenfield we have to implement payments is more limited just because we've sold some. I think that's the chief element of it, with some of the new products that we have introduced as well as continued emphasis and new methods of selling our payments product, I think that we can maintain that or improve it.
Mark Schappel: And then churn, was customer churn in the quarter within the normal range?
Roy Banks: It was. Yes, it was.
Mark Schappel: And then, Roy, switching over to you. Dental service organizations have been a recent focus of the company. I was wondering if you could just give us some color around what you're seeing in your DSO pipeline.
Roy Banks: We continue to see activity in the continued consolidation of offices, and that is in perfect harmony with our road map as we continue to enhance our platform to support the complexity of that. We're basically going to continue to adjust and take advantage of that consolidation that we're seeing in the market. And we still have a lot of sales resources focused on that. And we'll -- we remain very bullish about our position as being a leader in being able to support the DSO market.
Operator: Next up, we have Mauro Molina from Piper Sandler.
Mauro Molina: Just hopping on for Brent. So first off, just on the go-to-market. You've talked a lot this year about improvements being made in that sales and marketing organization kind of expected to materialize in the back half of the year. And I'm just wondering, kind of if the macro environment or anything that you're seeing in terms of sales process elongation has kind of changed in that time line, or if you're still kind of in where you expected? And I just have 1 follow-up.
Roy Banks: No, that's a great question. Well, certainly, what was going on in the macro environment wasn't expected. And we're, quite frankly, still waiting to see what impact that may or may not have. So at this point, we were thinking that right now, everything is going according to plan, but we still have some doubts or uncertainties about what impact that might have going forward. But for now, we're continuing to be very bullish and optimistic about what we anticipate will happen in the back half of the year with respect to our new go-to-market.
Mauro Molina: And then just on the price increase front. I know in the past, you talked about a quarterly rollout tier. And just wondering if there's been any change in customer response to that, kind of the price sensitivity you've been seeing, or maybe you might be changing the time line for rolling that out as a result. So just wondering kind of what the status is around that?
Roy Banks: We're two quarters into it. The rollout has gone well. We track that cohort very carefully to ensure that we're not seeing any negative churn metrics associated with the price increase. I think that the market is very understanding in this inflationary environment of these increases. And so we've done our first two quarterly cohorts, and we anticipate doing the same thing in Q3 and Q4.
Operator: Next up, we have Matt Stotler from William Blair.
Haley Moc: This is Haley Moc on for Matt Stotler, and best wishes to you, Roy. Maybe just on profitability. How are you thinking about Weave's path to profitability from here? And how do you plan to balance future growth and consistent profitability going forward?
Roy Banks: We know that the -- obviously, the market dynamics have shifted over the last several months. So we have -- we've always had a very clear path to profitability. We make -- we are definitely looking at accelerating that. We have all that we need to be able to get there from a balance sheet perspective while still maintaining some optionality for acquisition. So I would just say that we're on target and probably we'll be accelerating that path.
Haley Moc: And then maybe just a quick follow-up for me. Could you share any updates on the adjacent product adoption, such as for the forms, analytics and web assistant products, or anything else in that pipeline that you can share?
Brett White: All of these upsell products are continuing to be refined. We are matching them with the customer needs that our product team evaluates consistently through each quarter. And I think that the adoption rate, as we combine them, as we mix and match them, will be improving as we go forward. The combination of these upsell products into our overall product platform puts us in a very unique and powerful position to really make the best of this.
Roy Banks: I'll just add to that. If you look at what we did over the quarter, we added insurance verification, Buy Now, Pay Later. So adding additional products and features to our platform to create a better and a much richer platform experience continues to be an important part of our go-to-market effort. And so bolstering the platform value to our customers is a big, big part of making those products available.
Operator: Next up, we have Brian Peterson from Raymond James.
Brian Peterson: Roy, best of luck, I really enjoyed working with you. Just one for me. As you think about the comment that was just made on kind of the path to profitability, we're seeing the innovation kind of added on top of the existing products. How should we think about the cadence of attacking potential new verticals? Does that slow a bit, and you're kind of focusing more on the expansion opportunities with the existing markets? Or just how do we think about that balance?
Roy Banks: We continue to see significant opportunity in our core markets of dental, optometry and veterinary. And as we've stated over the past couple of quarters, we continue to remain very focused on continuing to harvest in those particular verticals. We are always prospective in evaluating new vertical markets, and we'll continue to do that. But at this time, right now, we feel, especially with the current macro environment, we really need to pay close attention and serve the needs of those customers that are in those key markets that we're already focused on. But we'll continue to expand. But right now, we're going to stay where we are and continue to focus on those core markets.
Operator: We will take the next question from Ivan Feinseth from Tigress Financial Partners.
Ivan Feinseth: Also, Roy, I want to say I really enjoyed your enthusiasm about the company, and I wish you well. Congratulations on the progress and on the good quarter and the ongoing progress on the adoption of the Buy Now, Pay Later. What type of market penetration have you been seeing so far? What percentage of customers are using that? And how has it been received? And would that also enable you to somehow create marketing campaigns when you get an understanding of the customer base that's participating in this? And then my other question is, what type of other features have you been thinking about adding and your customers have been asking you for adding?
Roy Banks: Yes, well, right now, Buy Now, Pay Later is still very new. So we're really early on into the introduction of that into our customer base. I can tell you that based on survey data and our understanding of our customer needs, it's a product that is being well received and something that has been viewed as incredibly valuable to helping our customers accommodate their patients and the way that they need to pay in cases where there's a financial burden. So we remain very optimistic that the product market fit with respect to our ability to deliver that product is really going to resonate with our customers and their clients. In terms of like marketing campaigns, absolutely, we're excited about this product. We believe that helping to facilitate the capture of payments and processing of payments, whether they're through pay overtime or through credit card or other payment modalities, is an important part of the communication and customer engagement experience. And so we believe that this is a very important part of what we offer to our customers, and we're very excited about our partnership with Sunbit and the ability that we have to deliver this capability to our customers.
Ivan Feinseth: And now compared to some of your competitors who may not be offering Buy Now, Pay Later, do you think this is also -- have you started to use this as a tool to market to new potential customers? And has that helped you gain new customers?
Roy Banks: This is a differentiating product for us, especially in the way that our platform work. We've always talked about the advantage that we have at managing the point of interaction between our customers and their clients. And so we believe that being able to offer this in the stream of our platform solution and the fact that it works within the existing Weave platform and the business experience of our customers gives us a tremendous advantage. And I think that this is going to allow us to capture new customers and segments of customers that we have not been able to attract and being able to use this as an attractant to acquiring new customers.
Ivan Feinseth: And your customer base has been saying that this is really -- what has been their feedback? They're really saying this is great, especially in areas where it's more patient paid such as optometry and pet care. Would those would -- be the strongest for you?
Roy Banks: Yes, exactly. Yes, especially high-cost procedures, procedures that tend to be very expensive and somewhat inhibiting or prohibiting in terms of someone being able to afford it upfront. So yes, the reception has been very, very positive. And the partner that we've chosen to deliver this product is very well steeped in this particular segment of the market as well and has a great understanding. And the partnership has proven to be very valuable in terms of our ability to extract a great opportunity here.
Ivan Feinseth: And Roy, again, I wish you well and congratulations on the quarter.
Roy Banks: Thank you very much, really appreciate it.
Operator: [Operator Instructions] It looks like there are no more questions at this time. I would like to turn the call back to Mr. Roy Banks for any additional or closing remarks.
Roy Banks: Awesome. Well, I'd like to thank the investor community for the partnership and for your interest in Weave and your support for me. It has been an absolute professional joy and pleasure to work with all of you. It's been a tremendous honor for me to be the CEO of Weave. As I hope you all know, I'm not leaving at the greatest of time because the company is doing fantastic. And -- but I really appreciate everyone's understanding, and I wish the company nothing but the best going forward, and I will continue to be a huge supporter and advocate and believer in the business, and I want to thank you all and encourage you all to continue to watch and pay attention very closely to this fantastic company. I leave it in tremendous hands. I'm very excited about the team that has been assembled here. I love the people. I love what we do and I love solving problems for our customers. And so I want to thank everyone personally and professionally for all that you've done for me and the support that you've given me. And with that, we'll close the call, and I want to wish you all a wonderful afternoon, and thank you once again for all that you've done for me and for Weave.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.